Operator: Good day, and welcome to the Edgewell Personal Care Q3 2021 Earnings Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Chris Gough, Vice President of Investor Relations. Please go ahead.
Chris Gough: Good morning, everyone, and thank you for joining us this morning for Edgewell's Third Quarter Fiscal Year 2021 Earnings. With me this morning are Rod Little, our President and Chief Executive Officer; and Dan Sullivan, our Chief Financial Officer. Rod will kick off the call, then he'll hand it over to Dan to discuss our results and updated full year outlook, and we will then transition to Q&A. This call is being recorded and will be available for replay via our website, www.edgewell.com. During the call, we may make statements about our expectations for future plans and performance. This might include future sales, earnings, advertising and promotional spending, product launches, savings and costs related to restructurings, changes to our working capital metrics, currency fluctuations, commodity costs, category value, future plans for return of capital to shareholders and more. Any such statements are forward-looking statements, which reflect our current views with respect to future events. These statements are based on assumptions that are subject to various risks and uncertainties, including those described under the caption Risk Factors in our annual report on Form 10-K for the year ended September the 30, 2020, as may be amended in our quarterly reports on Form 10-Q. These risks may cause our actual results to be materially different from those expressed or implied by our forward-looking statements. We do not assume any obligation to update or revise any of these forward-look to reflect new events or circumstances, except as required by law. During this call, we will refer to certain non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures are shown in our press release issued earlier today, which is available at the Investor Relations section of our website. Management believes these non-GAAP measures provide investors with valuable information on the underlying trends of our business. With that, I would like to turn the call over to Rod.
Rod Little: Thanks, Chris. Good morning, everyone, and thank you for joining us on our fiscal third quarter earnings call. This was a strong quarter. Organic net sales increased 12.5% with growth across all segments. This broad-based performance was driven by good execution across the business and underpinned by consumption growth in all 3 segments in North America as many of our categories continued to strengthen as we cycled last year's COVID-19 headwinds. We saw particular strength in Sun Care where global organic net sales increased nearly 50%, exceeding our own expectations in the quarter. -- We also saw improved consumption in our international markets where organic net sales increased 9% despite ongoing uncertainty and further COVID restrictions in many of our core markets. Adjusted operating profit in the quarter increased $23 million, driving 35% adjusted earnings per share growth, and we generated $163 million of free cash flow in the quarter. We are pleased to increase our full year outlook driven by our strong performance to date and expectations for continued Sun Care category strength over the remainder of the season. Our organization continued to execute well against our strategic priorities, making meaningful investments in our brands and products, incrementally investing in our innovation road map both near and longer term, driving increased digital engagement and activation and importantly, delivering $19 million in gross Project Fuel savings in the quarter, helping to mitigate significantly higher commodity and other input costs. In July, we also issued our 2020 sustainability report, which reflected strong progress to date and set increasingly ambitious goals as part of our Sustainable Care 2030 efforts. Before we review our segment results, I want to make a comment on the broader operating environment. While the demand environment is clearly benefiting from initial reopening and other stimulus efforts, our success this quarter demonstrates the focus of our global teams to execute our strategic initiatives, including a commitment to invest commercially, and grow, and to remain agile and resilient in the face of a supply chain environment that is increasingly challenging and volatile. We continue to see accelerated cost pressures across most commodity categories, especially resins and resin derivatives as well as higher wages and transportation costs. Gross savings from Project Fuel year-to-date of $52 million have enabled the business to offset many of these unprecedented increases. We have built a strong core competency of continuous improvement that's seen in the success of Project Fuel. This discipline is embedded in our go-forward plan as discussed at our Investor Day last November. Our teams will continue to execute productivity and efficiency efforts and the entire business will work all costs and revenue levers at our disposal to mitigate the effects of these cost headwinds. Now let me take you through a few of our segment highlights. Our Wet Shave business delivered another quarter of growth with organic net sales increasing 6%, reflecting growth in North America and international markets with strong growth in Women's Systems and Disposables. In the Skin Care segment, organic net sales increased by almost 30% in the quarter, primarily driven by nearly 50% organic net sales growth in Sun Care, fueled strong consumption gains in North America, and 17% organic net sales growth in men's grooming, driven by Jack Black. In personal hygiene, Wet Ones organic net sales decreased 32% against the 50% year-over-year increase in quarter 3 last year. Consumption for Wet Ones continues to be impacted by high levels of inventory and retail, particularly in the food and drug channels. While consumption at mass retailers increased in the quarter as we began to see a return to more normalized branded product distribution profile on shelf. We remain confident both in the underlying category demand over the mid- to longer term in the desire of both retailers and consumers to choose trusted category-leading brands like Wet Ones. In Feminine Care, organic sales increased 6%, reflecting increased consumption compared to a year ago, as the category begins to gain traction after a prolonged period of declines, cycling the COVID pantry load effects last year. I'm encouraged by our performance this quarter and to see our core categories starting to return to growth, although largely not yet back to pre-COVID-19 levels. While the past year has been unprecedented with COVID-19 negatively affecting all of our key categories as well as ongoing supply chain challenges, our teams have worked relentlessly to execute against our initiatives to transform the company. Our strong profit growth and cash generation in the third quarter is a testament to their disciplined execution. I want to thank each and every one of our Edgewell teammates for their valuable contributions in helping us reach this inflection point for the company. In summary, with 3 quarters of the fiscal year behind us and as our key categories are now showing initial signs of returning to growth, we are increasingly confident in our full year sales outlook and our ability to deliver on our updated profit outlook. Importantly, back in November of 2020, we outlined a bold path forward for Edgewell, reflective of sustainable top line growth, healthy free cash flow generation and accelerated adjusted EBITDA and EPS growth. Despite being faced with unprecedented challenges associated with COVID-19, our 2021 results line up well against the ambition. The progress we've made this year as an organization will continue to position us well to deliver on our financial objectives. And now I'd like to ask Dan to take you through our fiscal third quarter results and provide detail on our updated full year outlook.
Dan Sullivan: Thank you, Rod, and good morning, everyone. As Rod discussed, we're pleased with the strong sales and profit performance this quarter, and we continue to make good progress against our strategic initiatives through the first 3 quarters of the fiscal year. These include commercial investment in a targeted way in support of brand equity building, innovation and stronger digital activation, continuing to strengthen our internal capabilities in the areas of e-commerce and brand marketing; and seamlessly executing our fuel savings program. As a reminder, our framework for sustainable value creation is to generate consistent organic top line growth to make efficiency and continuous improvement core to how we run our business and a catalyst for investing in our growth objectives to strengthen our gross margin profile with focus on both cost and revenue management and to direct our attractive free cash flow in a disciplined way to improve shareholder return. Against the backdrop that is still COVID-19 impacted in many of our markets as well as an increasingly challenging supply chain environment, our results demonstrate good progress against these objectives. Organic net sales for the quarter increased 12.5%, aided by strong category consumption as compared to last year's COVID-19 impacted quarter. Year-to-date, organic net sales have turned positive increasing 2%. Organic net sales in our right to win Sun and Skin Care segments increased 29% in the quarter with strong Sun and Grooming performance. Wet Shave organic net sales increased nearly 6% with growth in both our North American and international markets as the category begins to gain traction following the COVID disruptions of last year. These improving consumption trends combine with our focus on brand-building investment, consumer-centric innovation and improved planogram outcomes position us well moving forward. Both in the third quarter and on a year-to-date basis, we delivered 40 basis points of adjusted gross margin rate accretion versus last year despite intensifying cost headwinds in the last quarter. Our Project Fuel program continues to excel while underpinning our profit growth with gross savings to date in fiscal 2021 of approximately $52 million. And our increased focus on effectively managing price, promotion and mix is also helping to mitigate an increasingly complex cost environment. Importantly, in the quarter, we remained in investment mode, and the $82 million of A&P spend represented the highest level of investment in over 2 years and a $14 million increase over the same quarter last year. We focused our investment on digital activation and supporting new product innovation and key brand relaunches. And strong cost discipline remains central to our business model, with adjusted SG&A growth of just over 3% year-over-year when excluding the impact of the Cremo business, as we invested in enhancing organizational capabilities, most notably in e-commerce, brand market and data and analytics. Now turning to our supply chain. All of our global manufacturing plant and distribution centers remained open and fully operational despite the broader operating environment becoming increasingly challenging. From a cost perspective, rising resin prices and accelerated wage pressures have created increased near-term margin pressure. Additionally, COVID continues to affect the macro operating environment, pressuring suppliers, extended port delays and adding distribution complexity across the supply chain, all of which brings both operational challenges and added costs. Our teams remain highly focused on navigating this challenging landscape and are working collectively to mitigate the impact to our business. Now I'll turn to the detailed results for the quarter. As I mentioned, organic net sales in the quarter increased 12.5% with growth in all 3 core segments, fueled by higher consumption compared to last year's COVID-19 impacted quarter. Organic net sales in North America increased 14.7% while international markets increased 8.8%. Our e-commerce business declined by 6% in the quarter compared to very strong 77% growth a year ago, but was up over 30% on a 2-year CAGR. With reopening and increased foot traffic at retailers, not surprisingly, we saw some sales shift back to brick-and-mortar. Looking deeper at our segments. Wet Shave organic net sales increased 5.8% in the quarter, largely driven by strong performance in Women's Systems and Disposables and in both North America and international markets. Our Women's Systems business continues to be the primary catalyst for growth with organic net sales increasing nearly 12%, driven by our key brands, including Hydro Silk, Intuition and Skintimate as well as Private Label, which grew over 30% in the, cycling 40% growth last year in Q3. Disposables organic net sales increased 11%, and we gained share in the category. In the highly competitive Men's Systems business in North America, organic net sales increased by about 3%, largely driven by Private Label, while international markets lagged. In the U.S., razors and blades category consumption increased 8.8%, an improvement from the previous quarter and 52-week trend. The category growth in the quarter was seen across Men's and Women's Systems and Disposables. For the 12-week period, market share for the Schick franchise declined 40 basis points, which was consistent with our 52-week trend. Branded disposable share increased 80 basis points, driven by gains in Schick original and Silk Touch-Up. While in branded Women's Systems, near-term supply chain can negatively impacted our Intuition and Hydro Silk brands on shelf, resulting in share loss in the quarter. We've taken additional steps to improve product flow to shelf as we work through the network-wide supply chain challenges and have already seen improved availability in the current quarter. Sun and Skin Care organic sales increased over 29%, driven by strong Sun Care and Men's Grooming sales. Sun Care organic sales in North America increased about 50% in the quarter and over 3% on a 2-year CAGR. In the U.S., Sun category consumption increased 34%, a sharp improvement over last quarter and 52-week trends. Hawaiian Tropic and Banana Boat both experienced modest share declines, largely reflective of last year's strong Q3 performance, where our brands gained 140 basis points of market share. On a 2-year basis, our portfolio has gained 60 basis points of share as compared to the 2019 baseline. Importantly, the category remained strong in July with consumption increasing 14% in the 4-week period ending July 17, and our combined brands gained 50 basis points of market share. Men's Grooming organic net sales increased 17.2% in the quarter. The total Men's Grooming category in the U.S., ex razors and blades, increased 12%. Wet Ones organic net sales decreased 32% in the quarter as compared to an increase of over 50% in Q3 of last year. Category growth was 27% versus a year ago as the category lapped the lowest point of consumption during the pandemic due to constrained product availability and prior to new entrants hitting the shelves. Wet Ones consumption declined 11%, driven by declines in food, drug and club channels. Importantly, we're beginning to see signs of brand consolidation on shelf as retailers cycle through high levels of alternative brand inventory. Wet Ones consumption at mass retailers increased 13% in the quarter, and our share grew by 160 basis points in this channel. Fem Care organic net sales increased 6.1% while the U.S. category increased 12%. This quarter, market share declined 90 basis points, an improvement over last quarter and 52-week trends. Playtex Sport gained share in the quarter, reflective of new product launches and stronger retail support on the heels of the positive distribution outcomes we discussed last quarter. Now moving down the P&L. Gross margin rate on an adjusted basis increased 40 basis points compared to the prior year, despite the challenging macro cost environment, as further fuel savings, improved pricing and promotion and favorable mix offset rising commodity, labor and supply chain costs. A&P expense increased $14.4 million this quarter and was 14.3% of net sales, reflecting increased investment and focus on critical commercial efforts supporting the Schick Hydro relaunch, Stubble Eraser and Skintimate brand launches and increase in season Sun Care support. Digital spending represented over 70% of overall advertising spend in the quarter. SG&A, including amortization expense, was $97.5 million or 17% of net sales. Adjusted SG&A as a percent of sales decreased 200 basis points versus last year as sales leverage more than offset increased costs associated with the Cremo business and unfavorable FX. Adjusted operating income was $80.6 million compared to $58.1 million last year, reflecting the benefit of increased sales and gross margin, partially offset by higher A&P and SG&A costs. GAAP diluted net earnings per share were $0.74 compared to $0.09 in the third quarter of fiscal 2020. And adjusted earnings per share were $0.89 compared to $0.66 in prior year period, primarily reflecting increased operating income. Adjusted EBITDA was $101.2 million compared to $82.8 million in the prior year. Net cash from operating activities for the first 3 quarters was $155.9 million or $37 million in the corresponding period last year, driven by higher earnings. In the third quarter alone, we generated $163 million in free cash flow. Both our capital structure and liquidity position remains strong. We ended the quarter with $438 million in cash on hand and access to a $425 million credit facility. And our net debt leverage ratio at June 30 was 2.4x trailing 12-month adjusted EBITDA. That brings us to our outlook for fiscal 2021. We're raising our outlook for the fiscal full year for both adjusted EPS and adjusted EBITDA, reflective of our strong performance to date and encouraging signs of traction in certain categories, balanced against the reality of heightened inflationary and operating cost pressures across our operations. For the full fiscal year, we still expect organic net sales to increase low single digits and reported net sales to increase mid-single digits, and both are now expected to be at the higher end of their respective ranges. Adjusted EPS is now expected to the range of $2.80 to $2.90. Adjusted operating profit margin is still expected to be largely in line with 2020 levels. And adjusted EBITDA is expected in the range of $358 million to $366 million. The adjusted effective tax rate is still expected to be in the range of 23.5% to 24.5%. We're increasing our full year outlook for Project Fuel gross savings to be approximately $70 million for the fiscal year and $280 million for the full project. And as we've discussed all year, we continue to be mindful that we're operating in an environment that has greater uncertainty than normal, making flexibility and agility a key focus for our organization. Now let me provide a bit more insight into the core elements of our expected 4Q performance. Our outlook for the quarter reflects a transitory product return charge in Japan, ahead of our planned Hydro relaunch in fiscal quarter 1 2022. This charge negatively impacts both organic net sales and gross margin rate for the by 150 basis points and 70 basis points, respectively. Inclusive of this onetime charge, we anticipate mid-single-digit organic sales growth, which on a 2-year basis would deliver about a 1% CAGR. And our gross margin rate will likely down about 70 basis points in the quarter year-over-year. Excluding the impact of the onetime charge in Japan, the underlying run rate organic net sales growth in fiscal 4Q would be about 6%, and our adjusted gross margin essentially be flat versus the prior year. And finally, we anticipate operating profit margin for the quarter to be above 14%, inclusive of continued investments in our brands and organization. In closing, as Rod mentioned, we are very pleased with our Q3 results and corresponding increase in our full year outlook. Our organization remains focused on executing against our go-forward strategy that we outlined at our Investor Day last November. And while work remains, we're encouraged demonstrated progress we are making. For more information related to our fiscal 2021 outlook, I would refer you to the press release that we issued earlier this morning. And with that, I'll turn the call back over to the operator to start the Q&A session.
Operator: [Operator Instructions] Our first question comes from Jason English with Goldman Sachs. Jason English with Goldman Sachs.
Jason English: Sorry about that. You had it over here, I'm trying to navigate through. A couple of quick questions. You mentioned you've got some -- you've seen cost escalate. I think you called out resins and you called out some labor and a little bit of freight. But all in all, we look at your P&L, it seems to be relatively modest in context to what many others in the industry are facing. So I guess my question is, is this a by-product of your cost basket? Or is it just a question of timing? And as we roll into next year, and I'm not asking you for guidance into next year, just general context and inflation, is there a sharp step-up in cost inflation that we should be contemplating or thinking about as we think about the next few quarters and into next year?
Rod Little: Jason, it's Rod here. It's a good question, right? It's a key thing we're all looking at in the sector and certainly within Edgewell. I think we're optimistic that we're pulling all the levers that are available to deal with higher input cost. It is just a fact, the resin issue, wages, airfreight, with all the port congestion to get inventories and product where it needs to be is more expensive than ever. There's not a timing difference here for us. I think the biggest thing is we were proactive with Project Fuel. And we've talked about the success we've had with the cost takeout. We started that program 3 years ago. It's now part of how we work of looking for efficiency every day. But that was an aggressive and robust program. The teams have built a new capability around strategic revenue management, looking -- having our innovation teams looking at bringing accretive innovation to market, very specific actions towards managing accretive mix in the product portfolio and then being aggressive and thoughtful around all levers of pricing, promotion discipline and promotion return and payout and building levers around that. We have targets against all of those pieces of the gross margin puzzle. And so it's a proactive approach to managing the gross margin line. And I think our P&L reflects the great job our team has done to this point in offsetting the headwinds. Now there's more to come, no doubt. And we're going to be pulling those levers as we move forward. So I don't think there's a sharpening or steepening of the curve. But it's here, and we're going to have to deal with it, and we'll continue to pull the leverage. Dan, I don't know if you'd add anything.
Dan Sullivan: Yes. The only thing I'd add maybe just for context because we're certainly not immune to it, Jason, as you can imagine. We're looking at, in 4Q, north of 30 basis points of headwind in the margin profile due to the cost environment Rod described. So it's certainly there. We're obviously focused against it. Project Fuel, which to date has offset these pressures, will generate about 275 to 280 basis points of cost offset. So the picture is more challenging than it has been. Fourth quarter is going to be -- we'll feel more cost pressure than we certainly did in Q3. I'm going to stay away from projecting out Q1 or Q2. But I think the important piece here is Rod's point of the levers that we pull on both the cost and revenue side are obviously super important in times like this because they help provide offsets.
Jason English: Yes, that makes sense. And a key point there I think I heard is it's not like some sort of head shelter and you have a cost lift that's looming around the corner. But it will amount, but nothing dramatically worse than what you're expecting in the back half. And correct me if I'm paraphrasing that wrong.
Dan Sullivan: No. I mean certainly, there's no cliff. We're subject to the same pressures as everyone in terms of depth of issue and length of issue, right? Timing is difficult to call at this point. The reason we spoke -- the 3 areas we spoke to in the prepared remarks around resin, labor and just overall supply chain complexity, which is mostly about ocean and inland distribution, those are the areas where we're feeling the most pressure where we've seen sort of the biggest continued deterioration in the environment and that we're working hard against as we exit the year.
Jason English: Makes sense. One more, then I'll pass it on. A lot of investors have been asking us about what's going on in the sunscreen market, particularly with some of the concerns around chemicals in there and the different reactions across manufacturers. So obviously, one of your competitors choosing to enact a broad-based recall. Can you give us a state of the union on what's happening in the situation and why your actions are different from some of your competitors?
Rod Little: Yes. So we love the sunscreen category, Jason. It's a category that we think over time has growth in it. And we think we're uniquely positioned to be very good in the category with very strong capabilities around regulation, formulation, quality and managing all that. It's a complex category because of the nature of the category. You saw us put up 50% growth in the quarter. With the incidence of skin cancer rates going up, not down, with consumers being more focused on skin health as we think about aging over time and gracefully aging, their taking care of the skin, I think, is important than ever and that will continue. So when we look at the category set up and we really like the category dynamics and our ability to be successful. From time to time, you're going to have things come up in the category because of the complexity around the changing environment around ingredients and regulation that you have to manage through. And you can get caught from time to time in the category if you don't have a robust capability to deal with these things. And you've seen that historically, right? In the category from time to time, you have those issues. What I would tell you is I'm not going to comment on competition or any legal issues around the situation. But we are confident that our brands, Banana Boat and Hawaiian Tropic, are not only efficacious and great in terms of delivering sun protection, but they're also very safe. Our ingredients meet all the regulatory requirements set out by the FDA. We comply with our own principles and scientific definitions around the use of safe ingredients. We look forward around what's going to be happening 1, 2, 3, 4 years out and try to be ahead of that as we formulate our products. And relative to the benzene issue, we comply with all the FDA limits here, and we don't have an issue that we're aware of. And so I think we feel good about where we are. And we've taken very seriously the safety that we need to bring to this category to help fight what is a big issue, it's skin cancer. It's growing every year. We're part of the role to help reduce skin cancer, and we're committed to doing it safely.
Operator: Our next question comes from Olivia Tong with Raymond James.
Olivia Tong: I wanted to ask you a couple of questions. First, in terms of pricing, given the operating environment that we're in right now, the cost inflation environment, are you thinking about additional price moves to offset some of the pressures? I know you took some in Sun Care not too long ago. But just thinking through the strength of particularly in Feminine Skin Care, whether you think that there is potentially more that you could be doing there? And then I have a follow-up.
Dan Sullivan: Sure. Yes, Olivia. The short answer is yes. You are right on past practice in Sun Care. I would also add this year, we executed a double-digit price increase across the Wet Ones portfolio. But certainly, in this environment, price is an important lever. Now you have to be really thoughtful and really aware of pricing power and competitive dynamics and all of that. But as we think about the portfolio, in addition to Wet Ones, which went earlier, we're in the final stages of executing a broad price increase across the Fem Care portfolio, likely mid- to high-single digits in percent increase, and we expect that to be through an on-shelf in late September, early October. And then we continue -- the teams here continue to look across the full portfolio in both U.S. and our international business but in a really surgical way, again, thinking about the factors I described. So yes, we think price will be ultimately an important lever for us in the environment we're operating income in terms of cost pressure.
Olivia Tong: That's helpful. And then a follow-up on Sun Care, which is obviously recovering very nicely. Can you talk about the inventory situation in your view now? You talked about July looking pretty good. Two questions there. Do you think your share is benefiting from, obviously, some different approaches by competition related to some of the concern around the ingredient profile? And then also talk about how you think delta is impacting just the very near term as we see more chatter about like canceled vacations and things like that? And then just maybe if I could just add one more there. Broadly, as we think about closing out this fiscal year. Do you feel like your sales delivery over the last 9 to 12 months or so is good base off which you consider a more normalized level of growth? Or are there still significant puts and takes to consider with respect to your sales run rate now whether related to COVID or container shortages or sales procedures.
Rod Little: Yes. Let me -- first, congratulations on the move to Raymond James. Let me start with the sales delivery piece of this, and we'll come back into the Sun Care share inventory piece. I think it's a good question on the sales piece and where are we. I do think what you're seeing this year on delivery is a good base to go forward with in terms of being normal. As we've talked, there's so many things happening in the environment, so dynamic with COVID, what's in the base, what's out of the base. Frankly, we're plowing through all of that and looking at delivering consistent regular growth period-on-period regardless of the environment. And I'll tell you to step back and take stock of where we are for the moment. We got the leadership team right in place with experienced people, track records of success, who work well together. We put a new strategy in place last summer. We're clear on where to play, how to win. We've got an increasingly strong diversified portfolio of brands that we love. We know what makes sense from an M&A perspective. The strategy and the ambition with that strategy is net sales growth in the range of 2% to 3% organic. I think that's where you'll see us this year. Adjusted EBITDA growth, 4% to 6%. EPS growth, 6% to 7%. When we gave our guidance for fiscal '21 back in October, November of last year, it was a very dynamic uncertain environment. Fast forward to today, we're on track, happy with where we are in year 1 of the execution and feel really good that we can deliver on the long-term ambition. And so yes, all that said, I think we feel really good about the sales base we have and that we're in line with our ambition. As we think about building the plan for next year, there's going to be puts and takes. But on average, I think we're where we thought we would be, and we feel good about that. Relative to Sun Care, I think we remain very confident on our execution in the category. I think when the dust settles by the full end of the season, I think you'll see us holding or maybe even slightly growing share as we cycle through last year. And remember, last year was a big share growth year for us. So when you look at 2-year stacks versus 2019, there's a lot of good growth in there. And we've seen our share strengthen throughout the season, even pre some of the announcements from some of our competitors. And the reason for them, we knew this coming in, is our promotional sets and where we showed up on floor in total and all that were skewed towards the second half of the season. And so we're now seeing that with our share performance every period as we go forward and we have the execution of shelf shown up like we thought. Inventory on Sun, I don't think there's a lot of it out there right now with the demand that's there. We're certainly not long on inventory nor do I think retailers are. And Dan, I don't know if you have anything to add?
Dan Sullivan: No, I think that's well said. Nothing to add.
Operator: Our next question comes from Bill Chappell with Truist Securities.
Bill Chappell: Just a first kind of maybe a housekeeping question on the Japan restage of Hydro, was that always factored into your guidance? Or is that kind of a pull-forward or change that's come as the rest of the business has kind of moved ahead of expectations for the year?
Dan Sullivan: Yes. Bill, it's Dan. No, it was always contemplated in the guidance. We knew what we were doing from a commercial execution standpoint, and then therefore, the sales expectation and the charge we would take to take product off the shelf. What was new for us in, let's say, relative to the guidance was the teams got into executing that, the charge is related to taking the older product off the shelf was bigger than we had initially contemplated. One, based on slightly higher inventory in the trade; and two, just based on timing. We were thinking about this as a staged removal, and for commercial reasons, went with a onetime removal. So we take the charges more entirely in 4Q, and they're a bit higher than we anticipated.
Bill Chappell: And then just another kind of housekeeping for Sun Care. Can you give us an idea kind of an index of where the international business is versus kind of 2019? Because it seems -- I mean certainly North America has rebounded strongly. But I get a sense that what 20% of your business is probably still off pretty materially. So any color there would be great.
Dan Sullivan: Yes, happy to. International business, I would segment into 2 pieces. The travel-related, vacation-related business, as you can probably imagine, simply has not returned. And so the markets themselves are quite depressed. You're just not seeing the vacation destination travel piece of that business. The other side of the business, what I would call more of the core day-to-day Sun business. And here in our key, particularly Western European markets, you are starting to see that recover as you did in the U.S. roughly a year ago. So I think that business is on a little bit more stable footing. If I quantify all of that on a 2-year CAGR, you're still seeing the Sun business down in the third quarter, mid-single digits and we anticipate will be down in the fourth quarter, double digits. That's not a 2-year CAGR. So that gives you an indication that, that Sun Care business is still quite affected by COVID.
Bill Chappell: Okay. Great. And then just one last one, sorry to sneak in 3. Rob, can you talk about -- and if anything, we've seen in both Wet Shave and Shave Preps is just a proliferation of brands, offerings. I mean the shelf seems to be -- you walk around retail in just so many different type products. Do you expand -- not to mention Dollar Shave and Harry's and others expanding. Do you expect some kind of brand consolidation to happen at retail at some point? Or -- and if not, how do you get visibility in terms of how you can do when there's just so much noise and increasing noise in the categories?
Rod Little: Yes. Bill, it's a good observation. And I think Wet Shave, both on the preps product side of the business as well as blades and razors, it's as competitive as it's ever been. I think if you look at the number of offerings and what's showing up a shelf. And at some it point, can be confusing itself, right, beyond just a couple of brands being very complex and complicated in terms of line extensions and the consumer not being clear about what to choose, while brands themselves have streamlined and cleaned that up, you have more offerings, as you're pointing out. I think it's something that retailer by retailer they'll work through what makes sense in their set. More and more online results, so e-commerce results are driving back through and influencing decisions for in-store brick-and-mortar. And so that's something we're cognizant of. Our brands have been performing better online than in brick-and-mortar store. And so we're activating the online e-commerce piece of this quite heavily. And because of, I think, the e-commerce piece of this and the direct-to-consumer nature or the ease of a listing at Amazon, it helped create this brand proliferation that you talk about. I think over time, though, as it sorts out, you still have to have good technology, efficacious products and formulations and the ability to clearly connect with your target consumer. And one of the things we're doing is spending a lot of time refocusing brand by brand, who is the target, what do they care about, how does our brand fit and speak to them, not only in terms of the product and functional benefit, but the values that the brand has and ultimately shares with that target consumer demographic. And so we're really spending a lot of time on that, that we think over time, regardless of what brands show up, will serve our targets very well. And I think we're confident that we've got the technology with better brand building and messaging, which we spent a lot of time working on with new resources, new capabilities, new agencies to help us do that, that longer term will be successful. But I do think we're in a period of time we're at the physical brick-and-mortar shelf, it's -- I would call it a little messy with the number of players that are there and could be confusing to the consumer. I don't know where retailers go with that over time, but there's probably an opportunity to tighten that back up over time.
Operator: Our next question comes from Kevin Grundy with Jefferies.
Kevin Grundy: I did want to pick up on U.S. Men's Grooming. Rod, just to build on the conversation around proliferation of brands and so forth. When we look at the Nielsen data, and we're still seeing the share losses for Schick, I think the hope was, and you can correct me if I'm wrong at this point, that we'd start to see turnaround in some of the share trends. The categories have bounced a bit against some easy COVID comps. But just building on the prior questioning from Mr. Chappell, where are you right now with this around relative to expectations? How would you assess the health of the Schick brand? I think Dan mentioned Private Label a couple of times. Is this going to increasingly become a Private Label strategy for the company in U.S. Men's Grooming? So if you could touch on those issues, I would appreciate it and then I have a follow-up.
Rod Little: Yes. Kevin, it's -- there's so many things happening in the share numbers of what's in, what's out, that it's hard to sometimes look at the share flows through the data and draw a conclusion. We delivered 6% growth in Wet Shave, our second consecutive growth quarter. There's a lot of things that go into that. The nice thing about our business is we have a highly diversified shave business. The bulk of our shave business actually is international. It's transacted outside the U.S., 55% roughly of that business. Within that, we play across men's, women's, systems, disposables and have a nice healthy Private Label business. So our strategy is to win with branded, win with Private Label and have that all work together in a very coordinated and structured way to deliver consistent growth and deliver value over time. That's the strategy. There's not a strategy shift here. As part of that, we have to have Schick play its role and be a winning brand. And I think what you're seeing on the women's side where our share position is north of 30% in total. And you look at those brands: Intuition, Hydro Silk, Silk Touch-Up, the new launch of Skintimate, taking that preps brand as the consolidator brand for women's disposable razor, simplifying all of our disposables offering into that brand and then launching the systems piece within Skintimate at the value tier. We feel really good about our women's business, and the share position has been pretty strong there over the year. And I think we -- the demand is there. We've got a nice, nicely defined brands up there. As we think forward, I think we're confident. I think the Private Label business, just whether it be opening price point or working with partners on branded propositions and supplying that into them. We feel really good about that part of the portfolio. We've had good success this year on our disposables line. The weak part of the portfolio here has been men's, right? That's not new. We've talked about that for quite some time. I would say we're at a point where we're making progress in what Schick stands for. But for many people, the Schick brand for men's shaving doesn't stand for anything uniquely enough that gets people to either want to try the brand or stick with the brand when there's other interesting things being offered via competition. And so as we look at that and take that as a challenge or as an opportunity, the Men's Systems business for us today is small, right? It's not a big part of our business. We've talked about that. But we think there's a real opportunity to have Schick stand for something with men in the U.S. market and do that in a very different way than we've done it in the past. That's what we're working on is to bring that back in. It's not a product issue. The Schick Hydro 5, amazing shave, one of the best, if not the best in the market in terms of comfort and performance. It's the branding and how we talk about the brand and deliver that to consumers through all the touch points that needs to change and be different, and you'll see that be different in the future.
Kevin Grundy: If I can just squeeze in one. That was helpful color. I appreciate that. Just on capital allocation, I want to push you a bit on the share buyback. So you guys put that back on the table, but yet have been fairly inactive. And I think we can collectively agree this is a challenging environment, but you guys feel confident enough to raise the guide here, albeit with a couple of months left in your fiscal year. Why not lean in more on buyback and stock trade at the lower end of staples, lower end of the HBC group? Why haven't you been more active? Maybe just touch on that or other areas of interest from a capital allocation perspective that are holding you back? And I'll pass it on.
Dan Sullivan: Yes. Happy to address that. Look, I think our capital allocation strategy certainly hasn't changed, right? First and foremost, we are investing in the growth profile of this business, both organically and inorganically. You saw that with the Cremo deal, obviously, a year ago. And we think this business is at a critical juncture now to deliver that 2% to 3% growth algorithm that we committed to back in November that Rod spoke to earlier. And so that primary objective for us has not changed. In the meantime, we've taken great steps during the COVID uncertainty to strengthen the balance sheet, get our capital structure in line, strengthen liquidity, really guarding against the uncertainty and in the meantime initiated what we think is a compelling dividend. And so as we look sort of more broadly at our capital allocation strategy, we love the balance, we love the breadth of it. That's not to say share buyback does not fit into the strategy. It certainly does likely more opportunistic than structural for us at this point. And we just think greater opportunities to invest elsewhere in support of the long-term growth of the business.
Operator: Our next question comes from Chris Carey with Wells Fargo Securities.
Chris Carey: So I just wanted to follow up on the line of question around with Wet Shave, if I could, just with a couple of final ones. Why has women's been so strong year-to-date? I think the category has also been quite strong. What's going on in the category? How are you performing relative to that category growth? Is this something to be concerned about going into next year? Or is this strength something that you see as sustainable? And then maybe just on the -- just like the broader concept of growth in Wet Shave. I mean is it fair to think about women's and Private Label being very much the growth drivers of this business and get the men's side of the business back to stable, and that's kind of the growth algorithm on a go-forward basis? And then I just have a quick follow-up.
Rod Little: Yes. On the women's side, Chris, the -- you're right, women's has been stronger, not only for us, but also the category overall. I think there's a couple of things playing in there that are uniquely COVID driven, but it's off of, again, a base that I think was pretty impacted. I think as people have gone outside more than ever, as women go outside and it's hot, it's the summer period, they want to look good. We all do as we exit COVID. And so as part of that, what you end up having happen is the hair removal happens more often. There's a little seasonality to the women's business anyway. And so we're just seeing that much like Sun Care, the proportion of women being outside and on the move is higher than ever. The second thing that I think has happened is just a habit change. Women remove hair in different ways. And with health and safety being top-of-mind, going into a spa or a salon facility to have some sort of treatment there was just happening less often, and there was more at-home care taking place. And so I think those are the 2 drivers that have primarily driven strength in the women's side. And again, our brand positions there, our product offerings, very unique, very distinctive, and our teams have done a great job of building those brands and connecting with those segments over time. More broadly, the Wet Shave strategy is in all of the above. I think we want to be successful, confident in all of the segments. And I think the bulk of the category improvement is still in front of us in the category. I think people, as I talked about, with women are being more social, getting out and about, delta variant notwithstanding. We've seen that the category has improved across the summer. The guys have been on the go and returned to more normal grooming habits. I think until we get back to the new normal for office setting where office is a more regular part of the mix, we're still going to be in a period where the category growth is probably going to lag in men's, but that's all there to be had in front of us. And then longer term, from a macro perspective, hair maintenance, hair removal, how guys wear facial hair or not, I think we feel like we've kind of bottomed out on that. Who knows where it goes? But we feel really good about the category over time. It structurally still remains very profitable. And again, we've got unique technology and reasons we should be successful here. Dan, I don't know, if you would add...
Dan Sullivan: Yes. The only comment I would add is, and I think it goes back to Kevin's earlier question, we don't think about our shave strategy as an either/or, right? It's not either private brands or branded. We want to excel at both. And probably gets underdiscussed relative to the branded side of the business, our PBG business is 25% of our Wet Shave business driving 50% of our growth. We're uniquely positioned in that space. It has attractive economics. It doesn't play like your typical Private Label business. And we're seeing 40%, 50%, 60% growth in the women's piece of PBG. And so it doesn't show up in share. It kind of gets lost a little bit, super important part of our Shave strategy. And we don't see it as, let's say, an issue or a distraction or headwind to our broader branded strategy.
Chris Carey: Okay. If I could follow up just quickly there on the Private Label side of the business. How do you view sustainability of those contracts or the duration? Is that where there's only a limited number of manufacturers in the space that could satisfy that demand as long as you continue to execute, the retailers, they are going to remain happy? And then the other follow-up was just on Wet Shave margins. You're tracking a couple of hundred basis points below pre-COVID. But I appreciate there's also a lot of investment going into the business right now. Do you think that you've reached at the margins for the investment level that the category requires? Or do you see an opportunity to improve the margins back to kind of the pre-COVID levels from here? And if so, how do you kind of see that trajectory playing out?
Dan Sullivan: Sure. I'll take the margin question first, and then I'll hand to Rod on shave. Look, I think what you're seeing in our Wet Shave business is an intentional commitment and investment behind these brands. And you see that in 2021, particularly in 2Q and 3Q. And that's timed to new brand launches, new innovation hitting the shelf. We're investing intentionally behind the portfolio in a meaningful way based on the launch of the product, based of the timing of execution to shelf. But also you heard Rod talk about on the women's side of the equation in particular, we're really excited about where we are with the brands, how we position them, messaging to the consumer, differentiation amongst the portfolio, and therefore, we're investing behind the campaigns, the execution, largely digital. So I think for us, we talk a lot about A&P spend relative to others in the space. This is intentional investment behind Shave, largely skewed to 2Q and 3Q just based on how we brought new products and new campaigns to the market.
Rod Little: And Chris, on the on the contract piece of that part of the business, there's really 2 pieces of the business. There's more of an opening price point, low price point part of the business, which is the normal tender with retailers that happens every so often depending on the cycle of the retailer every couple of years. Typically, that business goes back up for bid, and we bid against others for that. Again, it's a long-term capability we've built here, we're good at that. Goes back to American Safety Razor, the company we acquired years ago and brought into the company. And so there's that activity. The other piece of it is, I think not about a tender or a bid, but it's more about building a relationship and bringing unique capability to retailers as they potentially look to build out their own retail brands. Goodfellow at Target is an example, Solomo at Amazon, where we work with those retailers to develop and build their own brand that works for them in this format in their space, which is more about building a brand and less about trying to hit an opening price point. And that typically obviously a longer-term relationship as you do that. So there's 2 aspects to that.
Operator: There are no further questions. I would like to turn the conference back over to Rod Little for any closing remarks.
Rod Little: Yes. Thanks, everybody. Be safe, and we'll talk to you in a few months.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.